Operator: Greetings and Welcome to the Astronics Corporation Second Quarter 2019 Financial Results Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Deborah Pawlowski, Investor Relations. Thank you, you may begin.
Deborah Pawlowski: Thanks, Christine, and good morning, everyone. We appreciate your time today and your interest in Astronics. Joining me on the call are Pete Gundermann, President and CEO; and Dave Burney, our Chief Financial Officer. You should have a copy of the second quarter of 2019 financial results, which we released earlier this morning. If not, you can find them on our website, at www.astronics.com. Let me mention first and you're likely aware, that we may make some forward-looking statements during the formal discussion as well as during the Q&A session. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from what is stated here today. These risks and uncertainties and other factors are provided in the earnings release as well as with other documents filed with the Securities and Exchange Commission. These documents can be found on our website or sec.gov.  During today's call, we will also discuss some non-GAAP financial measures. We believe these will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or the substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP measures to comparable GAAP measures in the tables that accompany today's release.  With that, let me turn it over to Pete to begin. Peter?
Peter Gundermann: Thank you, Debbie, and good morning, everybody. Thanks for tuning into our call. Our agenda, as usual, we'll start off with a summary on our quarter and some of the developments that we're seeing in the market. Dave will pry through the numbers, both on the income statement and the balance sheet. And then I'll take it back and talk about our revised forecast for the topline for the second half of the year, and then we'll close with Q&A, as usual. So a summary of the quarter. Revenue was lighter than our first quarter. It was about where we, actually, expected it to be. It compared well to last year with adjusted sales up 5.4%. The adjustment, of course, I'm assuming some knowledge here, but in the first quarter we sold our semiconductor test business. So most of the numbers that we are going to be talking about today are adjusted numbers, excluding the effects of that semiconductor test business, both from the current periods and from the comparable periods. I'll try to make that clear as we go through. But that -- the good assumption is you're listening to the call.  So revenue adjusted was about a $187 million, up 5% from last year's second quarter, and both the segments contributed to the growth. It is down, sequentially, from first quarter when we had a very strong revenue of $205 million. For the year, our adjusted sales are up 12% to $392 million, again, both the segments contributing. The lower volume from the first quarter to the second quarter did put the pressure on margins. Our adjusted net income for the second quarter was similar to last year at 3.4% of sales, but well down from first quarter's 7.9%.  For the year, so far, our adjusted net income is 5.7%, double what it was last year for the first six months. Dave is going to go through the numbers in more detail, but I thought I'd some time on the major issues that we're seeing and facing, that are influencing our perspective and influencing our numbers. One is, we continue to see pretty strong tariff cost, unfortunately. The second quarter, our tariff charges were $2.3 million, year-to-date through 6 months, they come in the $4 million.  In the second quarter, also, we faced some pretty strong restructuring cost, especially in our Test segment. As the Test segment adjusted to lace after semiconductor test. The total charge for that restructuring cost in the quarter was $2.2 million, that restructuring, we expect, will face somewhere around $8 million to $9 million on an annual basis going forward, beginning in the current quarter, the third quarter of 2019. We've talked quite a bit in recent periods about our 3 stragglers or 3 struggling businesses. In the second quarter, those businesses had a collective operating loss of $7.7 million, that is well above the $5 million that we predicted. And there is some good news here and some unexpected bad news. The good news is that 2 of the 3 businesses, we have very strong line of sight to resolution. A resolution in this case is getting them at or near in the neighborhood of breakeven, and those 2 are CCC and Armstrong. Both have predictable quarters and both have a path, we feel, forward to get to -- approaching breakeven by year-end, such that we won't plan on talking about these 2 in this context afterwards. The third one, AeroSat, had a setback in the quarter. And that is our ambitions for our tail-mount business jet connectivity system, which we are taking the market with a couple of partners had a step back when one of the critical satellites, used to make up the system, failed and went out of orbit, and has, basically, been lost. And that in turn has resulted in the team deciding to put sales on hold, until replacement capacity that's suitable in nature both from a cost and a performance standpoint can be developed. Realistically, we don't expect that to happen towards the very end of the year at the earliest.  So AeroSat did not get on the path that we expected. Of the $7.7 million collective loss for the Group, AeroSat drove 70% of it. And with this delay in the tail-mount program our path towards breakeven is, significantly, complicated. Basically, we are on hold till we get later this year and figure out what the options are with the satellite network that we're going to use for the system going forward. Additionally, we've seen some programs slides in the market, including the 737 MAX, which is the favorite topic for everybody in the industry these days. It's become clear at quarter we're on that the reduced production rates would be continued longer than we originally expected. We started the year at 52, well it's a lump, we thought we're going to be down around 40 to 42 starting, say in, April till about June and July. And then we go back to 52 and then up to the goal of 58 kind of towards the end of the year. But as of now, it appears that, that lower production rate will go on indefinitely, with the hope of going up towards the end of the year. We have about $85,000 direct to Boeing on the 37 and another $10,000 that goes through other customers to get on the airplane. And so the cumulative drop in the production estimates, as we understand it right now, comes to about a $10 million revenue drop over the course of the year.  With all that on us, our bookings for the quarter were $170 million, that's a relatively low level compared to what we have seen in recent years. To some extent that, maybe, shouldn't be a surprise because we've had very strong quarters for the last 3 or 4 quarters, leading up to this quarter. So maybe, it was just break in the action. But there is some evidence that with the MAX grounding, the airline industry, in general, has tight capacity, tight capacity means that the airlines are very reluctant to take their aircraft down for upgrades. And upgrades are, essentially, what much of our IFE and IFEC sales are all about. So we've seen some evidence of some airlines that are particularly MAX dependent, that they want to delay their programs until the MAX situation is resolved. And we, obviously, don't have any information on that beyond what everybody else has in the industry. But at this point, the MAX situation is clearly an evolving scenario.  So those are my overall color comments, to begin the summary of the quarter. I'll turn it on -- turn it over to Dave to follow through some of the numbers.
David Burney: Okay. Thanks, Pete. As expected, heading into the quarter, sales in the second quarter were light compared with the trailing first quarter of the year. But still up about 5.4% on an adjusted basis from 2018 second quarter, when you exclude, from both periods, the sales of the semiconductor test business that we divested in the first quarter this year. Aerospace segment sales were up $8.1 million or 4.9% compared with the last year's second quarter. The increase was broad-based across most product lines, driven by higher OEM build rates, increased content and airline retrofit programs.  In particular, Electrical Power & Motion sales were strong, up $16.4 million or 24%, driven by strong In-Seat Power sales. Lighting & Safety was also strong, up $2.6 million or 6%, with all that increase coming from the lighting products, partially offset by lower PSU sales. Avionics was our weakest point in the quarter, down $10.6 million or 29% from the prior year's comparable quarter, primarily, due to decrease in sales of IFEC hardware. Test segment sales, excluding that divested semiconductor test business, were 14% to $12.6 million compared to the second quarter of 2018. Increase was driven broadly by an increase in volume from multiple A&D customers.  Going to our margins. On consolidated margins, our consolidated operating income decreased from $20.1 million or $10.6 million, due primarily, to the divestment of the semiconductor test business, which accounted for $10.2 million of operating income last year and $2.1 million this year. Adjusted income from operations, excluding the semiconductor activity from both periods, calculates the $8.5 million or 4.6% of adjusted sales compared with $9.9 million or 5.6%, on adjustment sales of $186.9 million and $177.2 million for 2019, 2018 second quarter's, respectively.  Still stalking the consolidated margins. Items affecting the quarter this year included: tariff cost of $2.3 million, an inventory reserve of $1.6 million and workforce reduction cost of $2.2 million, all told about $6.1 million or about 300 basis points of margin. Absent these charges, consolidated operating margins would have been roughly 8.6%. Regarding the tariffs, our supply chain management continues to work with our suppliers to reduce the impact of tariffs. Several of our suppliers are actively relocating or moving production from China to other low-cost countries, but the process doesn't happen quickly. In the long run, we expect to able to reduce the impacts; of tariffs, but it will not happen this year. As we have said, going into the year, we're anticipating tariff cost to be in the ballpark of $10 million this year, and we saw a 2.3 million in the second quarter this year, which was up from what we saw in the first quarter. Timing of tariffs really depends on the cadence with which we're importing some of our electrical components and cables from China.  So looking to the segment operations. Aerospace operating margins were 8.3% versus 11% in 2018 second quarter. Lower operating margins attributable to several factors. Two of the factors I spoke about affected the Aerospace segment. The impact of tariffs during the quarter was $2.3 million and the $1.6 million inventory reserve. Absent these factors, Aerospace operating factors would have been about 10.4%. Also affecting the margins with a somewhat unfavorable sales mix, with a larger mix of slightly lower margin sales in the quarter. We initiated a restructuring effort in our antenna business that we talked about on the last quarterly.  With that restructuring, we expect we will annual fixed cost by more than $3 million. The restructuring costs in the quarter were minimal, and we'll begin to see the benefits in the third quarter. We're making headway regarding the operations of our 3 problem businesses. The losses for those 3 during the quarter, as Pete mentioned, totaled $7.7 million, with AeroSat accounting for about 75 -- 70% of the loss. As we said before, our goals this year is to move those 3 to breakeven, and we think we're getting there with 2 of those 3. AeroSat will struggle a bit longer for the reasons Pete had mentioned about the satellite failure, but we're still waiting for alternatives and we expect the situation will evolve as we move through the year.  Additionally, we begin -- we will begin co-locating certain aspects of the Armstrong business from Itasca into a newly leased facility that CSC occupies in Waukegan. This will provide additional savings and synergies once the process is complete, over the next 12 months or so. On the Test Systems. Test segment operated at, roughly, breakeven for the quarter. Adjusting out the estimated impact of the semiconductor test business, the segment would have had an operating loss of about $2 million compared with an adjusted operating loss in 2018 second quarter of $3.9 million. However, the quarter ended a 2 million charge -- or included a $2 million charge related to severance as we resized the Test organization after the sale of semiconductor test business. The resizing will result in annual savings of about $5 million to $6 million in that segment, which we expect to see in the third quarter.  In July, we signed a deal to sell our noncore airfield lighting business. Proceeds for that will be, roughly, $1 million, and we expect, in the third quarter, will result in a noncash charge of about $1.5 million, primarily, relating to the removal of the goodwill related to that business that was on our balance sheet. On to our balance sheet. The balance sheet continues to be strong. At the end of the second quarter, we had a $122 million of long-term debt outstanding, which translates to a multiple of about 1.2x EBITDA, if you exclude the gain on the sale of the Semiconductor business. Including the gain, we are levered for debt covenant purposes at about 1.5x adjusted EBITDA. This gives us a great deal of flexibility in working capital deployment. We do have a $50 million share buyback plan in place and a 10b5 plan filed to repurchase shares at predetermined quantities based on market prices. We have not disclose the details of the plan and we did not purchase any shares during the quarter.  In addition to the share repurchase plan, our focus for capital deployment continues to be an M&A opportunities in both Aerospace and Test segments.  I think, Pete, that concludes my comments.
Peter Gundermann: Okay. Turning to our sales forecast for the rest of the year, you saw in the press release that we are adjusting down our cumulative sales expectations, Aerospace in particular, the Test actually goes up a little bit. Aerospace is now predicted to be $680 million to $700 million for the year. Last year, in 2018, we came in at $676 million. So the midpoint of that range would represent about $15 million of growth.  Test is now predicted to be $60 million to $75 million. Last year, without Semiconductor, it was $48 million. So that's pretty substantial growth. Part of that growth will come from our new Freedom Communication Technologies' acquisition, that is a smaller company that we bought in the quarter. Freedom represents a nice tack on addition to our technical capabilities and our market reach, they operate out of Texas, and we expect to continue operating that facility and that organization with those people going forward. So we're happy to have Freedom as part of the business. That would bring our total adjusted sales for the year forecast to be somewhere around between $740 million and $775 million. Last year, excluding Semiconductor, we did $719 million. So the midpoint of the new range to just 5% growth. We'd even further reductions, based on my earlier comments, if you assume tail-mount, antennas move out of this year, the $10 million for 737, our lighter booking performance in the second quarter, pretty much explains the drop in the expectations over the next 6 months. We obviously, believe that our business is very well-positioned and we're in some very nice market. For the long-term, it'll be nice when 737 gets resolved. It'll be nice when the airlines can more reliably count on what their -- what kind of fleet they're going to have, and what they're going to do going forward. And it will be nice we can develop satellites and somehow dodge meteors -- meteorites.  I think that's the end of our prepared comments. Christine, I'd like to open it up for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Jon Tanwanteng with CJS Securities.
Jonathan Tanwanteng: Pete, can you first provide an update on the operating income loss you're expecting from the 3 businesses over the next couple of quarters, given the issues there within the satellite and into 2020?
Peter Gundermann: I would, if I could. It's a little bit -- and we're kind of moving as we go here with respect to AeroSat, in particular. I previously said, I think in our last quarterly announcement, that we expected the 3 combined to be at $5 million in the second quarter and $2.5 million in the third quarter. That obviously, was based on certain revenue assumptions out of AeroSat, which are now, seriously, in question. The other 2, I think, we're going to move towards breakeven here to the point where it's not worthy of discussion, essentially, in the current quarter onwards. I'll give you an update as we get there. But I think, we're down to 1 struggling business for practical purposes.  And the other two are null and void at this point. And AeroSat, if you -- I think we said 70% of the $7.7 million cumulative operating loss was responsible to AeroSat this quarter. I don't think it's going to be any worse than that, I don't know if you're going to get it to be a whole lot better, that's what we're trying to assess and trying to figure out. And obviously, there are costs that need to be managed, there's also the opportunity that you don't want to flush away in the short term. So we're balancing that, and we'll provid updates as soon as we can. But at this point that's the best we can do.
Jonathan Tanwanteng: Okay. But you're expecting to reduce cost in AeroSat by $3 million a year. But what is the cost to achieve that?
Peter Gundermann: Well, you got an organization that staffed for a certain level of volume, and the volume has taken some big hits. So that's the challenge.
Jonathan Tanwanteng: Okay. Got it. And just on the core Aerospace margin, you gave this the color last quarter, I think they were 19% X the problem businesses and charters incurred. It looks like, this quarter, they stepped down, significantly. What was the reason for that? Dave mentioned, a later sales mix and obviously, you have a little higher tax tariffs. But what else is going on in there?
Peter Gundermann: It's mostly driven by volume. And we didn't, actually, prepare the comparable number, which I don't have in front of me. But if you were to reallocate back tariffs and material reserves and assume that the struggling businesses get to breakeven, all 3 of those are Aerospace businesses. I think you get up in that same kind of neighborhood, not 19%, but I think they're in the 15%, 16%.
Jonathan Tanwanteng: Okay. Got It. As you go forward into the rest of the year, should we use that same 15% to 16% as the base rate, given that the volumes aren't going to be of the size of Q1?
Peter Gundermann: Well, that's the problem. I think the -- that big assumption has to do with AeroSat, and our plan with AeroSat is being reformulated in the current situation.
David Burney: Yes, John. And if you look at the midpoint of our guidance for the year, subtract out the first half sales, you can see the expected run rate for the last half of the year. And it's not nearly where we were in the first quarter.
Jonathan Tanwanteng: Okay. Great. And then just any color on the accretion from the acquisitions that you did for the rest of the year?
David Burney: I think it will have a minor impact. We'll have the usual early amortization cost for some of the short-term intangibles. So I don't expect it to have a significant impact on GAAP income. I do expect it to contribute positively to EBITDA. It's a business that, typically, has been growing over the last couple of years. And has had an EBITDA run rate, that's mid- to upper teens.
Jonathan Tanwanteng: Is that an absolute level or margin? I believe margin, right?
David Burney: I didn't hear what you said.
Jonathan Tanwanteng: That midterm prediction is on the margin basis, right?
David Burney: EBITDA? Yes, percentage.
Operator: Our next question comes from the line of Ken Herbert with Canaccord Genuity.
Kenneth Herbert: Pete and Dave, I just wanted to first ask about the restructuring. Do you start to see expected sort of call it, $2 million to $2.5 million in benefit this quarter? Or does that have any sort of ramp as we go from third to fourth quarter?
David Burney: Yes. We should start seeing it immediately in the third quarter. Most of the adjustments largely related to severance and most of the moves -- all the moves, I believe, were made in the second quarter. So we incurred the cost there, and the people that were involved were terminated in the second quarter, or retired.
Kenneth Herbert: So sound likes with the exception of AeroSat down, all while restructuring activity, at least as you've identified is, is, essentially, complete?
David Burney: Yes. I mean except, I mentioned the -- we're starting to co-locate some of the business that's in Itasca up to Waukegan. We haven't seen any of the synergies yet that we expect to see from that. That's going to be a process that'll probably take 12 months to do. But that's going to be a slow move to help get some of our synergies out of those businesses that are all located in the Chicago area.
Kenneth Herbert: Okay, okay. That's helpful. And Pete, on the -- sounds like for legacy sort of connectivity or in-flight entertainment product line, the MAX is clearly having an impact as it pushes, maybe, some modification work to the right, just your around capacity constraints there. But are you seeing anything else on wide-bodies or any other platforms that, maybe, contributing to some of your cautious comments in that outlook? Or anything else in the market dynamics on that market, that we should be thinking about?
Peter Gundermann: It's a technically dynamic market place, but they're always all kinds of things happening. And I don't -- I'm a little cautious about overplaying these comments, Ken, because I don't want to make too much out of it. And we had really great booking quarters for the 3, 4 quarters, right up to this quarter. So 1 quarter does not a trend make. I want to be a little bit cautious there. And there are certain dynamics in the market, there's KU, Connectivity Systems, yielding to some extent to Ka-based systems and now the industry is about low-earth orbit type of constructs or satellite constellations, and how those work, and how they play, is kind of up in the air. There is the trend in the narrow-body world to extremely content, and away from CPAC systems, and so on and so forth. And then at the aircraft level, the 777 is being wound down and the 777X not here yet, probably has an impact. But these are all kind of punches that we roll with every day.  The reason that I brought a little bit of a comment to the 737 situation is that we have become aware of a couple of situations, where Airlines that are dependent or have been expecting declines in the 37 Max in higher quantities have pushed progress off. And that kind of makes sense when you think about it because IFE is, generally, an aftermarket type of installation. It's usually a fleet-wide installation. And when they don't have the affluence they thought they would have, then all of a sudden their capacity shrinks, when their capacity shrinks, the last they want to do is take aero planes out of service, if they don't have to. So we -- I wish I knew how long the 37 Max was going to be grounded. We all, obviously, do. The longer it goes, the more this dynamic could be an influencer. And we don't know what to do other than kind of wait and see, and stay in touch with our customers. But it is a conversation that we had not had up until recently and something that we did not sense up until recently.
Kenneth Herbert: Okay. No, that's very helpful. And if I could just finally on AeroSat. As we look at, maybe, a couple of the next key milestones between now and sort of the end of the year, anything you could, specifically, highlight in terms of how we should think about the satellite capacity? Or what we should watch out for in terms of the next sort of key signed poster to get that -- obviously, the business back on track?
Peter Gundermann: Yes. I mean it's a little bit beyond our scope, unfortunately. I mean this was a -- from a -- our partners, again, as you know, are Satcom Direct and Inetlsat. And Intelsat flies and owns the satellites. And Intelsat is the one who's really got the big problem here. The satellite in-question was a pretty important one, and it was in a pretty critical region over North America and over the Atlantic, and our tail-mount business was kind of an incremental add on, kind of initiative from their perspective, relative to what they otherwise have going on that satellite. So they've got to figure out and they have got other satellites in the orbit that they can offload some of that work too. Our sense is that at this point, they have not been able or willing to give us the capacity that we would need to make our system competitive technically and price-wise on the market.  And we may not like that, but we kind of understand it. They've got a bunch of initiatives underway, and I can't speak for them. But long story short, they either put up a new satellite, which isn't something you can do very quickly, unless you were otherwise planning to do it anyway, or you go to move a satellite -- you got to offload traffic to some other satellite. And that may involve borrowing capacity from somebody else or it means moving a satellite [indiscernible] depends, and all those things are -- I've told you more than I know about satellites right there. But obviously, we're an interested observer. We've spent a lot of time and money on this as has Intelsat and Satcom Direct. And all I can say is we'll break the news when we have the news. And at this point, we just don't have anything yet.
Operator: Our next question comes from the line of Michael Ciarmoli with SunTrust.
Michael Ciarmoli: Peter, just on the revenue bridge, you took $40 million out on Aerospace. And I think last quarter, you talked about AeroSat being down from $85 million to $70 million. You presumably contemplated the MAX at a $42 million per month run rate. So what were the other bridges to that $40 million reduction? Assuming that you took out the $25 million that you called out last quarter.
Peter Gundermann: Well, last quarter, we left at the -- as it was. And you're right, we saw some of the reductions last quarter, but we felt we had enough positives offsetting the negatives that we didn't need to move the range. So this quarter as we get less than 5 or 6 months of year-end, they're taking into account -- and as the situation comes clearer with the MAX. I mean when we closed the first quarter, we thought MAX would be -- MAX production would be kind of back up to its original plan as of now, actually, or moving in that direction. But basically, we've got -- to give you a rough order of magnitude, $20 million or $25 million coming out of antenna systems. We've got $10 million coming out of 737 line fit. And then we got about another $5 million to $10 million of other related programs across the business. Some of which might be linked to the capacity issues that I have been talking about. But it's a -- it's kind of a broad-based set of things. Obviously, it's disappointing relative to our original expectation for the year. The good news is most of it's moving to the right, and actually, if we hit the midpoint of our revised range, we still have a year of 5% growth over our adjusted nonsemiconductor 2018 numbers. So we're disappointed with the reset. But we still think we've got pretty good momentum and potential on the business at the same time, too.
Michael Ciarmoli: Got it. I mean you mentioned the 737 line fit, what about the buyer furnished equipment that would presumably be getting purchased from the airline? I mean I'm just trying to get a sense -- I guess you guys would be just in time with Boeing on some of the interiors, we've seen other suppliers call out weakness. Do you guys have any idea what kind of inventory is in the channel at United Technologies or Safran or Panasonic? I mean the bookings were down, but I'm assuming that all of those suppliers had been ordering at a rate of $57 million per month. So the bookings weakness -- I don't know if you guys can provide any color on what you think is in the channel there and even potential revenue headwinds. I mean if you look at the airlines who should have been taking MAXs, Air Canada, United, I don't know, Copa. I mean there were certainly a lot that would have had full power and connectivity in there.
Peter Gundermann: Yes. We don't really think that, that's a big headwind. Most of our hardware is pretty highly modular, if not dedicated to a certain type of airplanes. So if people buy it, and United is a good example, they're a customer of ours that -- have been for a really long time. A lot of the things we sell to them that could be fitted on a 37 can also go on a -- an 87 or a 67 or a 57 or whatever or 320. So I don't think there's a whole lot of 737-specific hardware in the distribution channel waiting for Boeing to start building airplanes. I -- our aftermarket sales are more fleet sales to airlines. And I think the airlines are hedging maybe a little bit, just because of busy summer travels as -- and they don't have the airplanes that they thought they'd have. So why buy something that they don't want to put on right now. I think it's more driven by that. But we'll find out. I would expect when the 37 gets released that there's going to be a big rush to get a lot of things reestablished, and we're looking forward to that day. But I don't think there will be a terrible lag once that happens while built-up inventory is addressed.
Michael Ciarmoli: Got it. And then just before I forget...
Peter Gundermann: No. I was just going to ask Dave if he had anything to add to that. He doesn't.
Michael Ciarmoli: Yes, and then just the last one, I'll get out of way. Can you just talk about, I mean, the passing of your Board of Director, you Chairman to your Board, Kevin Keane. How is that situation evolving from -- I guess in that estate planning, he owns 25% of the B shares with the stronger voting rights. How are you guys thinking about managing that situation? Or -- because I think when those B shares are sold, I think they convert into A shares and lose the voting rights. So any color on what's happening with that -- his estate and that large holder?
Peter Gundermann: No, I don't really have any perspective on that. It's obviously a family decision. And -- we miss Kevin terribly in many respects. He loved the company and his family does too. I wouldn't expect anything rash or anything damaging to happen, but I can't speak for them as to what their intentions are.
Operator: Our next question comes from the line of George Godfrey with CL King.
George Godfrey: Just two questions. One is, you said AeroSat's about 70% of the operating loss. If I back out the inventory charge, is the operating loss for that business, you think over the next two quarter is about $4 million, $4.5 million, is that a right operating loss to assume?
Peter Gundermann: That would be a baseline assumption assuming we don't do anything different to the business, and that's part of what we're trying to figure out.
George Godfrey: Got it. And then, Pete, you said, you wouldn't expect the satellite capacity issue to be resolved any earlier than the end of next year. What is the...
Peter Gundermann: End of this year, George.
George Godfrey: Yes. If we took a more conservative or a less optimistic -- could this extend into a 2021 type of thing? Or is this something that likely gets resolved and calendared 2020?
Peter Gundermann: That's a good question. I sure hope it's resolved, it's been an incredibly frustrating process as you can imagine. We've been at this now, I got to think that, it's probably been 1.5 years, 2 years, and we've been around the horn with one satellite provider already. And here we were in the starting blocks, waiting for the gun to go off. And actually, the gun did go off. And then we it was a false start. So everybody got back in the blocks and then this thing happen. So it's a little -- I don't want to tempt fate, by saying that there's absolutely no way it will wait till 2021, but I sure hope not. Two years ago, I wouldn't dream that we'd be in the spot right now either. 
Operator: Our next question comes from the line of Josh Sullivan with Seaport Global.
Joshua Sullivan: Just following up on the AeroSat question here. I understand while the satellite coverage impact has you guys on hold right now. But is there a point where the AeroSat assets might be better suited in an external portfolio. How much more investment -- are you thinking you're going to endure just to pursue the opportunity kind of when that changes over and I understand that [indiscernible]
Peter Gundermann: Well, yes. It's a good question. I guess I would answer this way, we have a number of opportunities and pursuits with that business bordering kind of that, collectively it could be very meaningful to the company. It's been a tough road, and it's really been an amazing set of circumstances that have led us to where we are. But remarkably, the opportunities that we have been seeing still exist. So the question isn't whether there are opportunities to pursue, the question is what is the best way to pursue them. And I don't -- I'm not sure if your question was, that we - could we or should we sell the business. And that -- and I'm not sure it's saleable right now in it's current situation, frankly. I think it's more a situation of how we best organize ourselves and manage ourselves to execute the opportunities that we see in front of us and do it in a cost efficient or cost-effective kind of manner. And we have some efforts underway to try to figure that out it's, obviously, a little bit over moving picture, when we don't know what some of our best near-term opportunities look like, exactly. But your question gets to the right issue, which is what do we do going forward? I don't think we're, necessarily, committed to maintaining the exact same path we have in the past.
Joshua Sullivan: That's helpful. And then on the Delta piloting some free Wi-Fi here. Can you talk about how Astronics might fit into that opportunity? Or where that market might develop?
Peter Gundermann: Yes. So for those of who you don't know, Delta, obviously, a major influential airline for the entire world and a long-term customer of our, has a couple of interesting initiatives underway. One of them is to, basically, develop much more of a customized kind of homegrown IFE type system. And that IFE system is -- needs a lot of the same components than any other IFE system needs. And we're heavily involved with them on this effort. Your question specifically, Josh, was there an experiment they're running or a trial that they are running, where they to want to, basically, allow their customers free Wi-Fi, free Internet access. And the issue there from a technical standpoint is that the take rate on any particular airplane, as you might expect would probably go through the roof. Instead of it being somewhere in the 4% to 15% of passengers range, it's -- I would expect to be somewhere closer to 75% to 85% to 95%, just like it is in restaurants and hotels and conference centers and everywhere else in the world. And what happens to the system when you have that kind of loading on board.  From our perspective, Astronics, this is a big deal because an airplane is one of the last places these days where people are actually expected to pay for Wi-Fi, and they're kind of being taught that they don't -- shouldn't have to pay for it because fewer and fewer hotels these days charge for that kind of service, for example, at one time they did. And it's expected to be free. Now getting Wi-Fi on an airplane is technically much more of a challenge than the average person is aware of or can think about. They just think they should be able to log on like to do in their bedroom or where ever. But for us, if this march towards lower cost and higher connectivity continues, if Delta decides that this is something they want to offer, it's going to put a lot of competitive pressure on everybody else to kind of do something similar. And if that's starts happening, we would expect a big increase in wired airplanes, connected airplanes and better capacity airplanes. A lot of the airplanes that are out there -- even though they have relatively new connectivity systems that have been put on in the last 3 or 4 or 5 years, those systems are not going to the able to handle 95% take rates as well as they handle the current 10% take rates. So we would expect this to be a major propelling move. So that airplanes that are not connected now will become connected and airplanes, even those that are connected, will have to upgraded substantially. We're obviously involved in this test and watching it very closely.
Operator: Our next question comes from the line of Richard Ryan with Dougherty & Company.
Richard Ryan: A couple of questions on other two businesses. Armstrong was just over breakeven in Q1, how did that perform in Q2? Did it stay in the profitable range? And on CCC, I think you were supposed to have some key deliveries in July or August. Have they occurred, that is giving you the kind of better line of sight for their outlook?
Peter Gundermann: Neither of them are profitable at this point. But they're -- but both of them are close enough that it's not worthy of a whole lot of discussion going forward. I think that's the way I'd paraphrase it. As Dave said, we have 3 facilities in the Chicago area, we're going down to two. And the Armstrong organization is going to be absorbed in the CSC, mostly up, in Waukegan over the next year. So that'll be, I think, a helpful set of developments for that operation. CCC is continues to make pretty good progress on its big development program, which has been a series of frustration for the last 1.5 years, You're correct in that, there are some by buy offs expected in the kind of a -- actually about now, July, August, September. It turns out that Amazon has been moved to a little bit later in late November, but the organization is increasingly confident, that we'll be able to get through that without an increase in the estimates to complete, which is what's been driving a lot of the cost overruns in that business. And driving a lot of the loss. At the same time, kind of the better news picture is that demand for VVIP airplanes continues to look pretty positive.  And we think we're going to come out of the other side here with a technically superior program capability at a time when the market is returning to normal levels of health. And the market's returning to normal levels of health in part because there are more airplanes available to modify, 737 Max excluded at this point, but A320neo is there, the A350, the 87 is there, the 777X is getting close. So there are more airplanes for customers to choose from. And despite certain tensions around the world, the geopolitical situation is such that wealthy individuals in various countries around the world are more comfortable buying these airplanes today then maybe they were over the last couple of years. So the combination is pretty positive. And competitively, again, once we get this program developed, we think we're going to some have something that's going to be hard for others to match. So it's a good combination. And as such, we expect, shooting from the hip a little bit, but We expect sales at [indiscernible] to almost double this year versus last year, heavily weighted for the second half, and the bookings we expect will drive further [indiscernible] going into next year. So it's a reasonably positive picture.
Richard Ryan: Great. One last one on cash. To increase the expectations on that. Is that business you already have in-house? Or is that still some business needed at the book? And what's driving your visibility there?
David Burney: Yes. A part of the increase there is the acquisition of Freedom, included in the sales guidance. And just some further refining of kind of -- we're halfway through the year now. And where we see the backlog shaping up for the balance of the year.
Peter Gundermann: Was your questions specific to cash?
Richard Ryan: Cash.
Peter Gundermann: Oh, Sorry. Okay.
Operator: Our next question is a follow-up question from Jon Tanwanteng with CJS Securities.
Jonathan Tanwanteng: Just a quick one for me. What are you tariff expectations for the rest of the year? .
David Burney: Well, we still think it'll be about -- I think what we saw in the second quarter is what we built into our internal models, $2.5 million each quarter. It could change though. Like I said, the first quarter was a little bit late, but if we take delivery of a bunch of imported raw materials from China, it could be a higher quarter, but overall for the year was -- we're still looking at about $2.5 million a quarter.
Jonathan Tanwanteng: Okay. Does that contemplate all the round of tweets that have come out from the Whitehouse in the past week or so?
David Burney: We don't upgrade -- update our forecast on a tweet-by-tweet basis.
Peter Gundermann: I think we should though.
David Burney: But I will say in the long run, when we get into the next year, if the tariffs stay at this 25% rate, I think we will see some reductions in the tariff cost for us, as our suppliers are able to relocate some of their facilities and we can source things to countries outside of China.
Jonathan Tanwanteng: Okay, great. Thank you. Just one more follow-up, corporate expenses were lower quarter-on-quarter. Is that run rate the right one to use going forward? Or how should we think about that?
David Burney: Yes. I think if you take a blended first quarter and second quarter run rate, that's what I would use.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the floor back over to management for closing comments.
Peter Gundermann: Thanks for your attention. We look forward to the drama this year as work through some of these issues and get better results. Thanks for your time today, and have a good day. Bye.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.